Operator: Good morning, and welcome to the First Quarter 2018 Earnings Conference Call of D.R. Horton, America's Builder, the largest builder in the United States. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the call over to Jessica Hansen, Vice President, of Investor Relations for D.R. Horton.
Jessica Hansen: Thank you, Kevin, and good morning. Welcome to our call to discuss our results for the first quarter of fiscal 2018. Before we get started, today's call may include comments that constitute forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Although D.R. Horton believes any such statements are based on reasonable assumptions, there is no assurance that actual outcomes will not be materially different. All forward-looking statements are based upon information available to D.R. Horton on the date of this conference call, and D.R. Horton does not undertake any obligation to publicly update or revise any forward-looking statements. Additional information about issues that could lead to material changes in performance is contained in D.R. Horton's annual report on Form 10-K, which is filed with the Securities and Exchange Commission. This morning's earnings release can be found on our website at investor.drhorton.com, and we plan to file our 10-Q next week. Please note, that we have changed the presentation of our consolidated [technical difficulty] in development, financial services and other operations on a combined basis. This segment information on a consolidated financials in our press release includes detailed financial information for all of our reporting segments. And as a reminder after this call, we will post updated supplementary data on Investor Relations site, on the presentation side, under news and events for your reference. The supplementary information includes data on our homebuilding return on inventory, home sales gross margin, changes in active selling communities, product mix and our mortgage operations. Now I'll turn the call over to David Auld our President and CEO.
David Auld: Thank you, Jessica, and good morning. In addition to Jessica, I am pleased to be joined on this call by Mike Murray, Executive Vice President and Chief Operating Officer; and Bill Wheat, our Executive Vice President and Chief Financial Officer. The D.R. Horton team is off to a strong start in 2018, in the first quarter our consolidated pre-tax income increased 23% to $391.2 million, on a 15% increase in revenue to $3.8 million. Our pre-tax profit margin improves 70 basis points to 11.7% and [technical difficulty] of our homes sold increased 17%. These results reflect the strength of our operational teams and the diverse product offerings across our broad national footprint. Our strategic focus is to produce double-digit annual [technical difficulty] in both revenue and pre-tax profits, while generating positive operating cash flows and increasing our returns. For the trailing 12 months, our homebuilding return on inventory was 17% an improvement of 110 basis points from 15.9% a year ago, with 27,800 homes in inventory at the end of December and 259,000 lots owned and controlled we are well-positioned for spring selling season and further growth in 2018. Mike?
Mike Murray: Our consolidated pre-tax income for the quarter increased 23% to $391.2 million, compared to $318.1 million a year ago and homebuilding pre-tax income increased 27% to $373.8 million compared to [technical difficulty]. Net income for the first quarter was $189.3 million or $0.49 per diluted share compared to $206.9 million or $0.55 per diluted share in the prior year quarter. Tax Cuts and Jobs Act enacted into law in December impacted our current quarter results with a one-time non-cash charge to income tax expense of $108.7 million to reduce our reduce our deferred tax asset, which was partially offset by $41.1 million redemption in current tax expense due to a lower [technical difficulty] rate, lower federal tax rate apply to this quarter's income. The net impact of the tax legislation was the $67.6 million redemption of net income for the quarter or $0.18 per diluted share. Our backlog conversion rate for the first quarter was 88%. As a result, our first quarter home sales revenues increased 14% to $3.2 billion on 10,788 homes closed, up from $2.8 billion on 9,404 homes closed in the prior year quarter. Our average closing price for the quarter was $295,200, down 1% from the prior year quarter. This quarter actual homes marketed under our Express Homes brand accounted for 36% of homes closed and 29% of home sales revenue. Our home [technical difficulty] higher end moved and luxury buyers price greater than $500,000, or 6% of homes closed and 15% of home sales revenue. Our active adult Freedom Homes brand is now being offered in 22 markets across 12 states and customer response to these affordable homes and communities offering a low maintenance lifestyle continue to be positive. Freedom Homes accounted for 2% of homes closed and 1% of home sales revenue in the first quarter. The value of our net sales orders in the first quarter increased 17% from the prior year quarter to $3.2 billion and home sales increased 16% to 10,753 homes. Our average number of active selling communities increased 1% from the prior year quarter. Our average sales price on net sales orders in the first quarter was $299,700, and the 22% cancellation rate during the quarter was consistent with the first quarter of last year. The value of our backlog increased 11% from a year ago to $3.8 billion with an average selling price per home of $306,200 and homes in backlog increased 9% to 12,294 homes. Jessica?
Jessica Hansen: Our gross profit margin on home sales revenue in the first quarter was 20.8%, an improvement of 100 basis points from the prior year quarter and 50 basis points sequentially from the fourth quarter. Gross margin increase compared to both periods, primarily due to lower litigation of warranty and interest costs. And I apologize that we're been told that the call is not coming through clearly and it's breaking up. So we're going to very quickly get off the line and redial back in to see if that makes it better. Our apologies for the inconvenience.
Operator: [Operator Instructions]. Now rejoining our speakers.
Jessica Hansen: Thank you, Kevin. I'm going to continue with home sales gross margin. Our home sales gross margin will be impacted by the strength of the spring selling season. Based on our first quarter results and current market conditions, we expect our gross margin will be in the range of 20% to 21% for the full fiscal year, with quarterly fluctuations that maybe outside of the range due to product and geographic mix as well as the relative impact of warranties, litigation and interest costs. Bill?
Bill Wheat: In the first quarter, homebuilding SG&A expense as a percentage of revenues was 9.5%, unchanged from the prior year quarter. This quarter's SG&A includes $5.3 million of transaction cost related to the Forestar acquisition. We remain focused on controlling our SG&A, while ensuring that our infrastructure adequately supports our growth. Jessica?
Jessica Hansen: Financial services pre-tax income in the first quarter was $22.2 million, compared to $26.5 million in the prior year quarter. The decrease in profit was primarily from lower pricing on loan origination sales due to competitive pressures in the mortgage market. 96% of our mortgage company's loan originations during the quarter related to homes closed by our homebuilding operations. And our mortgage company handled the financing for 56% of upward [ph] in home buyers. SHA and VA loans accounted for 44% of the mortgage company's volume. Borrowers originating loans with DHI Mortgage this quarter had an average FICO score of 719 and an average loan-to-value ratio of 88%. First-time homebuyers represented 43% of the closings handled by our mortgage company, consistent with the prior year quarter. Mike?
Mike Murray: We ended the first quarter with 27,800 homes in inventory; 15,500 of our total homes were unsold, with 11,200 in various stages of construction and 4,300 completed. Compared to a year ago, we have 13% more homes in inventory, putting us in a strong position for the spring selling season and the rest of fiscal 2018. David?
David Auld: Our homebuilding investment in lots, land and development during the first quarter totaled $954 million, of which $573 million was for finished lots and land acquisitions and $381 million was for land development. Our underwriting criteria and operational expectations for new communities remain consistent at a minimum 20% annual pre-tax return on inventory and a return of our initial cash investment within 24 months. We expect our homebuilding operations to invest approximately $4 billion in lots, land and development in 2018. Bill?
Bill Wheat: At December 31st, our homebuilding, land and lot portfolio consisted of 259,000 lots, of which 126,000 or 49% were owned and 133,000 or 51% were controlled through option contracts. 98,000 of our total homebuilding lots were finished, of which 36,000 were owned and 62,000 were optioned. 3,100 of our optioned lots at December 31st were owned by Forestar. We have increased our option lot position 42% from a year ago and we believe we can increase the option portion of our total land and lot pipeline to 60% over the next few years, while maintaining our number of owned lots relatively flat with the current level. We plan to continue expanding our relationships with land developers across the country, as well as growing our majority owned Forestar land development operations. Our 259,000 homebuilding lot portfolio is a strong competitive advantage in the current housing market and sufficient to support our growth. Mike?
Mike Murray: On October 5th, we acquired 75% of the outstanding shares of Forestar Group, a publicly traded residential land development company for $558 million in cash. D.R. Horton's alignment with Forestar advances our strategy of expanding relationships with land developers across the country to increase our access to optioned land and lot positions and enhance operational efficiency and returns. The interactions between D.R. Horton and Forestar have been very predictive and we continue to be excited about the value this relationship will create over the long-term for both D.R. Horton and Forestar shareholders. Forestar's operating results for the period subsequent to the acquisition date and as of December 31, 2017 are fully consolidated in our financial segments with the 25% interest D.R. Horton does now reported as non-controlling interest. Forestar's assets and liabilities were recorded at fair value as of the acquisition date, including $402 million of cash, $345 million of land and low inventories and $20 million of goodwill. The segment information tables provided in our press release present Forestar's operating results as of December 31, 2017 on its historical cost basis. And the impact of purchase accounting and other adjustments are presented separately. Forestar currently has operations in 16 markets across 11 states. Both D.R. Horton and Forestar are identifying land development opportunities to expand Forestar's platform. Since the acquisition in October, Forestar has been evaluating approximately 22 opportunities, primarily sourced by D.R. Horton and Forestar closed on six of those opportunities as of December 31st. All of the projects are located in high demand markets that D.R. Horton currently serves. These 22 communities are expected to yield approximately 11,000 finished lots majority of which may be sold to D.R. Horton in accords with the master supply agreement between the two companies. We are also continuing to work with Forestar on plans for its existing projects to improve returns and accelerate cash flows on its legacy portfolio, which will provide capitals to support Forestar's future growth. Jessica?
Jessica Hansen: Looking forward, during fiscal 2018 we expect Forestar to invest approximately $400 million in land acquisition and development, funded from both existing cash and the cash flow generated from this legacy portfolio. Also in 2018, we expect Forestar to obtain a bank credit facility to help fund its working capital need. In fiscal 2019, we expect Forestar to access the public market for additional growth capital and over the next three years we expect Forestar's annual deliveries to grow to approximately 10,000 lots by fiscal 2020. We do not expect Forestar to have a material impact on D.R. Horton's fiscal 2018 earnings, primarily due to the impact of purchase accounting adjustments and intersegment profit deferrals. We will reference Forestar on a future D.R. Horton earnings calls and we expect to update our 2018 guidance for Forestar on our second quarter call in April. As a public company, Forestar will continue to file quarterly and annual reports and other required public information, but will not host quarterly conference call. D.R. Horton will continue to handle Forestar's Investor Relations to allow the Forestar team to focus solely on operations. Forestar has historically operated on the calendar year-end and will file its 2017 annual report by mid-March. Forestar has announced that it is changing its fiscal year-end from December 31st to September 30th in 2018, which will align with D.R. Horton's fiscal year. Bill?
Bill Wheat: At December 31st, our homebuilding liquidity included $558 million of unrestricted homebuilding cash and $877 million of available capacity on our revolving credit facility. Our homebuilding leverage ratio improved 270 basis points from a year ago to 25.9%. During the quarter, we used $400 million and we issued $400 million of 2.55% senior notes due in 2020 and repaid $400 million of 3.625% senior notes at par. The balance of our homebuilding public notes outstanding at the end of the quarter was $2.4 billion and we have no senior note maturities in the next 12 months. During the first quarter, our consolidated cash used in operating activities was $75 million. Excluding Forestar, we used $30.7 million of cash and operations, as we increased our homes under construction in preparation for the spring selling season. During the quarter we paid cash dividends of $47 million to our shareholders and we repurchase 500,000 shares of our common stock for $25.4 million. Our remaining stock repurchase authorization at December 31, 2017 was $174.6 million. At December 31st, our stockholders equity was $7.9 billion and book value per share was $20.98, up 12% from a year ago. We are also pleased that S&P recently upgraded D.R. Horton's investment grade corporate credit rating to BBB flat from BBB minus. David?
David Auld: Our balanced capital approach focuses on being flexible, opportunistic and disciplined. Our balance sheet strength, liquidity, consistent earnings growth and cash flow generation are increasing our flexibility, and we plan to utilize our strong position to improve the long-term value of the company. Our top cash flow priorities are to consolidate market share by investing in our homebuilding business and strategic acquisitions, reduce or maintain debt levels, and return capital to our shareholders through dividend and share repurchases. After considering the impact of recent tax legislation we now expect to generate at least $700 million of cash from operations in 2018, growing to over $1.25 billion annually in 2020 excluding Forestar. Jessica?
Jessica Hansen: Looking forward, we are updating our expectations for 2018 based on current market conditions. We now expect to generate a consolidated pre-tax margin of 11.8% to 12%. We still expect consolidated revenues of between $15.5 billion and $16.3 billion and to close between 50,500 and 52,500 homes. We anticipate our home sales gross margins for fiscal 2018 will be in the range of 20% to 21%, with the potential quarterly fluctuations outside of this range. We estimate our annual homebuilding SG&A expense will be around 8.7%. We expect our financial services operating margin for the year to be around 30%. We are forecasting a fiscal 2018 income tax rate of approximately 26% excluding the one-time deferred tax asset charge we took this quarter and we expect our outstanding share account to increase by less than 1% this year. And as David mentioned, we now expect to generate at least $700 million of positive cash flow from operations excluding Forestar in fiscal 2018. Our results this year will be significantly impacted by the strength of the spring selling season and we will update our expectation as necessary each quarter, as visibility to the spring and the full year becomes clear. For the second quarter of 2018, we expect our number of homes closed will approximate the beginning backlog conversion rate in the range of 97% to 100%. We anticipate our second quarter home sales gross margin will be in the range of 20% to 21% and we expect our homebuilding SG&A in the second quarter to be in the range of 9% to 9.2% of homebuilding revenues. Over the longer term and as we generate increased cash flows, we expect to pay down debt and decrease our leverage, increase our dividend and repurchase shares to offset dilution with the target to keep our outstanding share count flat by 2020. David?
David Auld: In closing, our first quarter's growth in sales, closings and profits is a result of the strength of our people and operating platform. We are striving to be the leading builder in each of our markets and to continue to expand our industry leading market share. We remained focused on growing both our revenue and pre-tax profits at a double-digit annual pace, while continuing to generate annual positive operating cash flows and improve returns. We are well positioned to do so, with our solid balance sheet, broad geographic footprint, diversified product offering across our D.R. Horton, Emerald Express and Freedom brands, attractive finished lot and land position and most importantly, our outstanding team across the country. We thank the entire D.R. Horton team for their continued focus and hard work, and we look forward to growing and improving our operations together in 2018, as we celebrate our 40th anniversary year. This concludes the prepared remarks. We will now host any questions.
Operator: Thank you. [Operator Instructions] Our first question today is coming from Carl Reichardt from BTIG. Please proceed with your question.
Carl Reichardt: Good morning everybody. I see Don's still controlling SG&A relative to the phone system. But I wanted to ask a little bit about gross margin, which was better than what we expected and I know we will see the numbers come out a little bit later. But did you have any issues - obviously you have got spec up, but did you have any issues getting homes out of backlog this quarter? And was there any significant mix impact from the higher margin markets that helped you?
Mike Murray: No Carl, it was just a solid quarter, backlog conversion was solid, our core margins throughout the business have been very stable. And really our outlook going forward is continuing very stable on a core margin basis. We did see lower impact from litigation and warranty this quarter. I would say back to a more normal level there we've had an elevated level the last several quarters as well as we continue to see a steady decline in the interest component, the interest costs and our margin which was a contribution this quarter as well. But primarily lower litigation warranty and interest and just solid stable margins on a core basis and as we look forward same outlook there.
Carl Reichardt: Okay, thanks Bill. And then David, I'm interested in your perspective on some of the markets where you don't have as much penetration. I know we expect you to continue to try to invest to consolidate share in the markets where you've already have presence. But markets like the Northeast, Mid-Atlantic the Midwest can you comment at all about your thought process there, in terms of potential growth in those markets? Thanks.
David Auld: Carl we've spend a lot of time last two or three years looking at those markets kind of repositioning within those markets. And my personal belief is that those are going to be a big part of our company kind of going forward.
Carl Reichardt: Thanks, David.
David Auld: In the markets there are a lot of people there and there is no reason for us not to be number one in those markets, just like we are number one in Texas market.
Carl Reichardt: Thanks.
Operator: Our next question is coming from John Lovallo from Bank of America Merrill Lynch. Your line is now live.
John Lovallo: Hey, guys. Thanks for taking my questions this morning. The first one is on the comments around the intention for Forestar to access the capital markets in fiscal year 2019. I guess the question would be, any thoughts on whether this is going to be equity or debt? And then is the goal overtime to still kind of dilute that stake down to closer to 25% in accordance with the master supply agreement?
Mike Murray: John, this is Mike. We have not yet decided what makes the most sense between debt or equity right now. Possibly a bit of a blend in any as we do intended to drift down our ownership percentage overtime. But today, we're focused first and foremost on building and growing the platform.
John Lovallo: Okay, that's helpful. And then, if I heard this correctly, did you guys comment on community count in the quarter being up about 1%. And if that is the case, how comfortable are you with being able to continue to push absorption?
Jessica Hansen: Very comfortable with continuing to push absorption that was the story. Obviously once again this quarter we were up 1% year-over-year, sequentially we tick down slightly, I believe about 2%. The details will be at in our supplementary data after the call, but we'd continue to expect our community count to be relatively flat to slightly up or down as we move throughout the year.
Mike Murray: And John, our product diversity is really helping drive that absorption as we're introducing Freedom into some of our communities where we have other brands there as well, that's helping us increase our absorption. We really see the potential for that for the remainder of this year.
John Lovallo: Thanks very much, guys.
Operator: Thank you. Our next question is coming from Stephen East from Wells Fargo. Please proceed with your questions.
Stephen East: Thank you. Good morning guys. Just a follow on, on Forestar and surprisingly here, you've identified about 22 deals you brought on about 6. Could you talk about where they're located first of all? And then I have a couple of other questions on Forestar.
Mike Murray: Our 22 deals portfolio right now it's the Carolinas, Georgia, Florida, Texas and Washington.
Stephen East: All right, got you. And then Mike, what's the limiting factor as you move through the year and into fiscal 2019 as far as converting those 22 and whatever else you're seeing converting those to going on to the balance sheet of Forestar? And then could you repeat for me, how many lots you expect to use from Forestar in 2020, I missed that.
Mike Murray: In 2020, we expect to have around 10,000 lot deliveries coming out of Forestar. So there is really, the limiting factor is people growing the team and the processes. We feel like we've got adequate capital for the foreseeable future into 2019 before we think about a capital raise, and feeling very good about our growth path and trajectory. The additions to the teams we've made so far have been strong. And we think that's going to lead to more growth in the platform.
Stephen East: Okay. And the limiting factor I guess on that growth. And I guess if you're already looking at 11,000 lots to have only 10,000 in 2020, I guess surprises me a little bit.
Mike Murray: The 11,000 would be the total inventory in the lots. The 10,000 would be the annual deliveries. So they'll be holding on inventory of several years supply and then - but we expect them to be delivering 10,000 a year out of those deals by 2020 development.
Stephen East: Got you, okay. All right. Thank you.
Operator: Thank you. Our next question is from Alan Ratner from Zelman & Associates. Your line is now live.
Alan Ratner: Hey, guys. Good morning, nice quarter. So first question on the gross margin, really strong results this quarter and you're bumping the low end of the range that you've talked about. It seems like forever, it's at 19 to 21 up 100 basis points. Then the items you mentioned in the release that really drove the upside this quarter, the litigation, the warranty. They're certainly lumpy, but they seem a little bit more one-time in nature, and they can move around a lot. So I was hoping you could just expand a little bit upon like what you're seeing in the market that gives you the confidence to raise that low end? And maybe just expand a little bit on pricing power that you're seeing especially in the face of rising rates that we've seen over the last month or two?
Bill Wheat: Yes, Alan we're just seeing really stable strong market out there. Limited inventory, certainly the ability to raise prices obviously in our more affordable product where we're very careful about the pace at which we raise price. Because we want to make sure we can keep an affordable product out there, but the markets very solid, very strong. Certainly we expect to continue to see some cost increases, but our ability to either offset that through other categories or to offset that with some modest price increases we believe is still there. So just overall market tone just feels very stable, very steady, and our outlook for margin is solid for the year.
Jessica Hansen: We continue to see our purchasing teams across the country do a fantastic job on controlling costs. We believe our business model plays very nicely into that particularly with Express. But our revenues per square foot did outpace our stick-and-brick increase per square foot on a year-over-year basis again this quarter. So more of the same we're still seeing labor cost pressures and material costs relatively net neutral.
Alan Ratner: Great, thanks for that detail. Good to hear. And then the second quarter I know it's really early, but I'm hoping if you could just give some rough parameters here. When you look at the 22 opportunities you're looking at the Forestar and even if you want to drilling more on the 6 that you've closed, can you give us a little bit of a sense of what type of margin underwriting we should think about for Horton as you actually deliver homes on those lots as well as what Forestar will actually report on a development margin when they sell the land to Horton? Just trying to figure out how much different from the 20% to 21% you're talking about. Should we expect on those Forestar deals and what type of margin are you embedding for the developer? Thank you.
Mike Murray: We continue to focus on the returns of those projects as we look at it from both the Forestar side and the Horton side. And we're looking at high teens, are very incrementally positive returns to the Forestar portfolio and continuing to underwrite to a 20% or plus return on inventory metric on the home builder side. Those are the primary underwriting metrics that we're looking at. And so that's where we're focusing and the margins will vary.
Alan Ratner: Okay, got it. Thanks guys, good luck.
Operator: Thank you. Our next question is coming from Ken Zener from KeyBanc Capital Markets. Please proceed with your question.
Ken Zener: Good morning everybody.
David Auld: Good morning, Ken.
Ken Zener: So your guidance is up, and the gross margin is good, your orders hit seasonality, my question is relative to your total units in inventory your 27,300 versus 24.5 last year. That low teens growth is good, but I wonder why the spec component - the growth rate in the spec component has declined. Is there something about your orders being stronger in terms of backlog or why did that component of units in inventory declined year-over-year when that's obviously a component that enables you to gain share by building spec ahead of other builders?
Jessica Hansen: Our spec count is actually up 16% year-over-year Ken, I don't know if that's part of what was cutting out on our call, we do apologize for the in and out earlier.
Ken Zener: Okay. So what is your total units in inventory 27.3 and what's your spec count?
Jessica Hansen: Our total units in inventory is 27,800 and our spec count is about 15,500.
Ken Zener: Okay. And is that the gross margin guidance there, I know you're obviously working on a lot of different things, but you were the first company really to cut gross margins in order to get the pace up. Is there something that you're doing to get this slight upward revision in gross margins, I mean, is it if labor is there, material is there why are you getting this upward tick? Could you readdress that? Thank you.
David Auld: We've been working very, very hard to improve efficiency deliveries in the delivery of the product, take labor out of it. If you look at our ASP on closed houses we actually saw a slight dip this last quarter, while we improved margins. And that's just the combination of a lot of really hard work in getting product positioned to be more competitive and drive a better return and - which is now translating into - it has been stable margins, but we saw a little uptick this last quarter.
Ken Zener: Thank you.
Operator: Thank you. Our next question is coming from Mike Rehaut from JP Morgan. Please proceed with your question.
Mike Rehaut: Thanks, good morning everyone. First question, I just wanted to make sure I got the best feel for it and I apologize if you answered this earlier might have been when you were little more statically. But the drivers of the gross margin increase for fiscal 2018 you highlighted that the kind of the upside or the higher end of the range in the first quarter was due to the litigation warranty also a little bit of less interest cost and that that has become more stable than previous years. So am I to infer then that the raise for the full year is also driven by these two factors primarily and obviously continue that good end markets and being able to roughly offset costs inflation, which are all very good positives. But that the lower litigation warranty and perhaps the less interest as a percent of revenue, those are that the main drivers of the increase for the full year?
Mike Murray: Yes, Mike that is the primary driver, I would say it's the reason why we haven't been able to raise our margin guidance prior to this. We were seeing a trend that was affecting our margin, that trend has moderated. We believe it's at a more stable level today and we continue to see a very stable outlook in the core of our business.
Mike Rehaut: Right, okay great. No, that's helpful. And also then on Forestar, with the 10,000 deliveries that you expect the company to achieve in 2020, I guess, that's a year ahead of the original slideshow presentation and expectations, also you have now you talked about 22 deals of that are being evaluated, six have already closed. And I believe in the original guidance, you were looking for eight deals to be close in the first year. So, is this - are we to kind of conclude that maybe would Forestar would be doing perhaps in the 10,000 to 15,000 range in the first year and that kind of as you look at further years out, if it's 10,000 in 2020, the 15,000 goal that you had I believe in 2022 could be something on the order of a 20 to 25 type number?
Bill Wheat: I think we indicated last quarter we thought that we would be able to exceed those June projections, that were out there and we try to update that a bit right now with the 2020 goal of 10,000 deliveries. And very pleased with the flow of projects and opportunities that Forestar has been able to evaluate. But we will be updating our guidance for the balance of 2018, with some more details in April. We'll be a little more comfortable I think to share a little more granularity in what we see in interim periods.
Mike Rehaut: Okay. And just one last quick one if I could, the operating margin guidance being raised by 30 bps versus the gross margin guidance raised by 50 bps. What's the reconciliation there?
Jessica Hansen: We reduced our financial services operating margin, we have set 30% to 32%, now we're saying around 30%. The operating margin was only about 27.5% in the first quarter and we are seeing competitive pressures in the mortgage market, it's really reverting to what we would consider to be a normalized operating margin, whereas the last of couple of years they have seen outsized margins in their business.
Mike Rehaut: Okay, perfect. Yes, I was thinking operating homebuilding margin. So thanks for that clarification.
Jessica Hansen: Yes, [indiscernible] consolidated pre-tax margin of 11.8% to 12%.
Mike Rehaut: Got it, thanks a lot.
Jessica Hansen: Thanks Mike.
Operator: Thank you. Our next question is coming from Stephen Kim from Evercore ISI. Your line is now live.
Stephen Kim: Thanks a lot guys, really impressive results. My first question relates to the comment you made David, about the importance of discipline and I think that's something that really has been a focus I know of yours in the company and in the management team over the last few years. With respect to discipline, we were looking at your ROA across your regions recently and I was kind of surprised to see just how wide the spread of returns on assets were across your different reporting regions, it was actually among the widest we have seen - we see in the group. And I was curious, if you just sort of comment on the degree - why we are not seeing the discipline and the controls and the overall strength of Horton not also manifest itself in perhaps somewhat more similar returns across the regions, if that's even a meaningful metric or goal or aspiration at all and if not, why not?
David Auld: Every one of these markets are different and we do operate with a very decentralized approach to what we're doing we think that gives us that ability to scale up and operate in markets profitably other people have a difficult time entering. When I look at these operations and like the Northeast or Arizona a couple of years ago, actually opportunities get better and that's what we're striving to do is overtime get better. If you look at the longevity of our people you see that we've - I think in a way lead the industry and been able to keep people in markets for the longest period of time that's very important to me. So we don't have a top down approach to it, we don't have a quick trigger on changing people out. We work with people striving to get better and build on their relationships within those markets to create long-term value for the shareholders. And that's been the philosophy of Don Horton, Donald and something I shared.
Stephen Kim: Great. I appreciate that, thanks. If I could extend the question again a little bit in a slightly different way talking about discipline. We've also been very intrigued to note that this cycle is the first housing up cycle where we've seen eight consecutive years of housing start increases. That's never happened in the history of the country. So while housing may still be as cyclical as it ever was, it has been noticeably less volatile than in prior cycles. And I was curious if you could talk about if you think housing demand is more likely it's likely become more volatile in the next couple of years in a potentially rising rate environment. And how you think D.R. Horton's discipline in the market particularly maybe with respect to your spec strategy and incentives? How that might be more visible or visible in a more volatile market if we were to have one?
Bill Wheat: Steve, we've been expecting to see higher interest rates for a quite few years. We feel that's very important to maintain an affordable product out there in any environment. And that's really still the most underserved segment of the market today is at the affordable end of the price range. So as we go into a period where we're now interest rates are rising, we believe we're in a very good position to compete in that scenario. Our decentralized operations also allow us to respond to individual market trends when changes in local economies affect the housing market. But overall, we're very pleased with the position that we're in.
Mike Murray: And also look at the recovery. It has been eight years of increasing housing starts, but they're increasing from a very low level at a very slow trajectory relative to continued population growth household formations. So the under building so to speak, that was occurring. We're still working out against that. And there has been discipline in the industry with amongst the players and not being overbuilt.
David Auld: I think, the other contributing factor to what has extended this housing cycle has been the lack of financing for small builders and independent developers. That typically that's how the market gets oversupplied. Lawyers become developers and doctors become lawyers and it's a - they put product out there that there is no demand for. And what's you're not seeing and it's not just the D.R. Horton it's all the builders. Much more disciplined, we all went through that downturn. And we didn't enjoy. So we've got a great market working for us today. And it's just a matter of positioning and execution. And we did pretty well in that environment.
Stephen Kim: Great, thanks a lot guys and best of luck.
Mike Murray: Thank you.
Operator: Thank you. Our next question today is coming from Jack Micenko from Susquehanna. Your line is now live.
Soham Bhonsle: Hey, good morning guys. This is Soham on for Jack today. My first question was on capital allocation. And just coming back to what you guys said in your opening comments on priorities going forward in the other of paying down debt, raising dividend and purchasing shares to offset dilution. Just curious you mentioned raising dividends. So just wondering, what's driving the decision to favoring a dividend increase over share repurchase at this time?
Bill Wheat: We've always been a steady dividend payer. That has typically been our preferred method of distribution to shareholders through the years and it continues to be. We have more recently begun to pull then some level of repurchases of shares and we expect that to now become part of our consistent distributions as well. But that's really been the - our historical pattern on distributions to shareholders through dividends.
Mike Murray: We went from no share repurchases in the year ago quarter to up to 0.5 million shares repurchased in the most recent quarter. So seeing an increase in return there and our focus would also be looking for opportunities to invest in the business and continue to take advantage of market opportunities that we see, as a high priority for our capital.
Soham Bhonsle: Okay. And then I guess one Forestar, as we think about gross margins and SG&A for that business. Is 40% on the gross margin the right level to think about? And then what is the SG&A percentage look like on the 10,000 lot basis that you guys just referred too? Just trying to think through the longer-term pre-tax profile for the business?
Bill Wheat: Right, we're focused like we are at the homebuilder, we're focused on the returns and the Forestar team is focused on the returns as the primary metrics that are guiding their decisions. And we'll get back with some more updated guidance information after Forestar reports their full annual results in mid-March when we come back with our April call.
Soham Bhonsle: Okay, thank you.
Operator: Thank you. Our next question is coming from Nishu Sood from Deutsche Bank. Please proceed with your question.
Nishu Sood: Thank you. First, thinking about the 60% optioned lot target which you folks have mentioned again here and I think you have been talking about that pretty consistently. How do we think about the increment from here at 50% to 60% relative to Forestar? The 10,000 lot deliveries by 2020 would seem to make up - would seem to help make up most of that progress from 50% to 60%. Is that roughly where that difference is going to come from? Or am I not thinking about that credit because of the consolidation of Forestar?
Mike Murray: I think you are going see it coming from both sources the third-party land developers as well as Forestar. The exact mix between those two still kind of working that out, but I do feel really good that both - we'll have both the expanded relationships with developers as well as certainly an increased supply from Forestar for our lot position.
Nishu Sood: Got it, thanks. And in terms of mortgage rates obviously some concern about those having picked up. Now you folks have been pretty consistent in describing that if rates are rising relative to a better growth pattern that's fine. But if there is a sharp move, continued sharp move in rates during the spring selling season, what level on the third year would worry you, is it the 4.5%, 5% how are you thinking about that heading into the spring selling season?
Jessica Hansen: There is no certain rate really an issue as you said it really is based on how sharp they rise. So if they do rise very sharply in a short period of time, we would expect some period of impact, while buyers' mindset resets and adjust to that higher rate. But as long as we're offering affordable homes that people can afford, which we think we are doing today even with a decent rising rates. We feel good about the overall spring selling season in really sales as we move throughout 2018.
David Auld: With the increase in rents that we've seen in the market, the payment at 4% or 4.5% is even close to 5%, still going to be less than rent amounts. So it's - these are great rates. And what we have seen is that the uncertainty in rates is pushing people off the accounts [ph], and is actually increasing demand right now. So, we're looking at each market individually and positioning within that market to meet our targets, feel pretty good about it.
Nishu Sood: Got it, thanks for the color.
Mike Murray: Thank you.
Operator: Thank you. Our next question is coming from Mike Dahl from Barclays. Please proceed with your question.
Michael Dahl: Hi, thanks for taking my questions. First question, just another high level question around how to think about the impact of Forestar and I guess if we're thinking about these 10,000 lots or as you go up further clearly more. But these are deals that buy and large would have otherwise been either been either sourced to other third party partners or brought on your own books if I'm - or A, would be am I thinking about that correctly; and then B, if so is it then more of an issue from an accounting standpoint of you'll capture the additional margin on having developed those lots through Forestar versus outsourcing them to total third party? Or is it truly a - so is it a margin gain or is it a -line gain in your view as far as the contributions from Forestar?
Mike Murray: Well the goal of Forestar is for them to be a large well capitalized national land developer that ultimately will not be on our balance sheet. And so while we're in the process of doing right now is putting deals in place to build a pipeline just help them build that foundation and build that platform across the country. Ultimately what that will provide when they are capitalized, when the foundation is built, when they're across the country and they're off our balance sheet the returns on D.R. Horton side will grow because we will have a more efficient balance sheet. There are profits to be made in the land development business and Forestar will make a solid profit, a solid return on the investments that they are making. And we will earn our portion of the profits on the Forestar business. But in the short run here for the next year or two we are in the process of building out that platform and putting them in position to deliver a more substantial portion of our lots down the line and to build a profitable strong returning business on a standalone basis.
Michael Dahl: Got it. Okay, thanks. And the second question, I guess, if you could just I know it's still a small piece of the business, but in the midst of a meaningful ramp over the course of this year and next before looking at Freedom homes. Could you give us an update on how we should be thinking about that ramp over the course of 2018 and any details you can give us on what type of sales pace you're observing in those communities relative to your other brands?
David Auld: We've pushed this into 22 markets we're actively working on every market we've got introducing the Freedom, it's a little bit different in that set up on the community HOA documents are a little more restricted than what typically be a Horton community. So it has been a situation where we are having to put lots on the ground to support that brand. It's a huge buyer segment, buyer demographic and they are much less interest rate sensitive. So we think it's going to be a significant impact to growth if not this year next year then certainly three to five year period.
Mike Murray: Steady growth is the expectation within a few quarters it's at now 2% of our overall mix, we would expect to see steady growth going forward throughout 2018 and 2019.
Michael Dahl: Okay, thank you.
David Auld: Where we can put those projects on the ground and execute it well. They have outperformed and very excited about it.
Michael Dahl: Okay, great. Thanks.
Operator: Thank you. Our next question is coming from Dan Oppenheim from UBS. Your line is now live.
Dan Oppenheim: Thanks very much. I was wondering about the issues the specs and the rate environment here. Wondering what you're seeing in terms of the consumer respond are you seeing that this period of where mortgage rates is actually increasing the attractiveness of specs with the sorter closing time? And also wondering as others talked about spec in terms of just the potential for lower margins are you seeing that or are you seeing that the specs are coming through essentially the same margins as to be built on?
Mike Murray: Specs have consistently been a significant part of our business operations and those margins that we see now reflects 70% to 80% spec home deliveries every quarter and have for a long-long time. So we're not seeing anything, but solid margin performance across our communities and that's reflective of a lot of spec deliveries, which is very helpful as we compete with not just other new home sales, but with existing home sales as well.
David Auld: Our operators are very disciplined. We're not just throwing inventory out there we plan our spec starts based upon demand within that community and position it to create a most efficiency we can building these houses through the - on a month-to-month week-to-week basis, which is part of our overall program. And I believe, we believe that it is the reason we've been able to maintain such stable margins for the past three, four years.
Jessica Hansen: And Dan, in terms of the rate environment we haven't seen any impact to our traffic or sales in January as a result of mortgage rates, actually very pleased with our sales pace and in line with our business plan as we're finishing out the month here today.
Dan Oppenheim: Jessica I specially meant more in terms of just does the - do the specs actually service incentive and help the conversion rate of traffic people can then close in?
David Auld: Absolutely.
Dan Oppenheim: Great, thank you.
Operator: Thank you. Our next question today is coming from Jade Rahmani from KBW. Please proceed with your question.
Jade Rahmani: Thanks very much. I was wondering if you could give your updated thoughts around integrated off-site solutions in terms of preconstruction of various aspects of the home. How much potential do you see in this trend over several years?
Mike Murray: We continue to look at different ways to be more efficient in the building process and we in various markets and we do penalization, in other markets it's more restrictable process and in a lot of places it's a combination of both on-site always looking for the most efficient way to deliver affordable home. But we continue to watch that and at this time, we don't really have any kind of a codified view on what impact that will have on the awarding, but with something rest assure that we're watching continually.
Jade Rahmani: And can you also comment on labor availability and cost pressures, related to labor constraints. How are you managing that and where would you say the problems are most acute?
Mike Murray: The problem really hasn't manifested itself for us, broadly across the board we - our spec strategy, our disciplined starting program of working to give an absorption in the community has allowed us to get the labor we need. From a high-level monitor overall build to see if we are having issues delivering homes and we've not seen any kind of elongation in our build cycle by our field production teams. They have done a great job staying on top of the labor. And then with the cost we have seen some increases in stick-and-brick cost that it varies from quarter-to-quarter is to how it's manifesting itself. But for the most part we have been able to get the pricing power to cover any of the cost increases that have come through.
Jade Rahmani: Thanks very much.
Mike Murray: Thank you.
Operator: Thank you. Our final question today is coming from Buck Horne from Raymond James. Your line is now live.
Buck Horne: Thanks, good morning. I had a question on labor, but that get answered as well. So I'll ask a question that I get a lot from my clients. Just about the tax law changes and how you guys might internally be thinking about, if these changes the standard deductions, state and local taxes and mortgage interest deductibility. Do you think that has any meaningful effect on buyer behavior, maybe between certain states this year or even next?
Mike Murray: Buck with the homes we're looking to deliver primarily affordable homes that whatever customer segment we're serving. We are not expecting a significant negative impacted at all from the tax rate changes. In fact we're hopeful it put more money in people's pockets that they are more emboldened to be confident to make the decision to go and buy that new home and to buy an affordable home from D.R. Horton.
David Auld: Buck the alternative is rents and if you want to lock in your housing costs, you pretty much got home and build equity [ph] all the time. So it's a strong economy, more money in their pockets those are both ramps for D.R. Horton.
Buck Horne: Okay, thank you. And just a quick follow-up, have you guys given any thought to partnering or working with other single family rental operators for product that may be built for rent if that type of opportunity presented itself?
David Auld: We get pitched a lot of things from a lot of different people. Right now we are very happy with the absorptions we're driving selling to single family homeowners. And to me you put too many renters in a community owned by one company you can end up creating problems for the homeowners. So, if that was a way to drive absorption and we were looking to drive absorption then we probably we think more about it. But right now today we like the model we work under and feel like we are offering long-term value to our homeowners and that's a winning combination for us.
Buck Horne: Thanks, that's very helpful, I appreciate it. Great quarter guys, thank you.
David Auld: Thank you.
Operator: Thank you. We reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments.
David Auld: Thank you, Kevin. We appreciate everyone's time on the call today and look forward to speaking to you again in April, to share our second quarter results. And to the D.R. Horton team, thank you for a strong first quarter and an outstanding start to 2018. We are proud to represent you up here. Thank you.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.